Operator: Good day, and thank you for standing by. Welcome to the Chemed Corporation Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Sherri Warner of Investor Relations. Thank you. Please go ahead.
Sherri Warner: Good morning. Our conference call this morning will review the financial results for the second quarter of 2021 ended June 30, 2021. Before we begin, let me remind you that the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 apply to this conference call. During the course of this call, the company will make various remarks concerning management's expectations, predictions, plans and prospects that constitute forward-looking statements. Actual results may differ materially from those projected by these forward-looking statements as a result of a variety of factors, including those identified in the company's news release of July 27th and in various other filings with the SEC. You are cautioned that any forward-looking statements reflect management's current view only and that the company undertakes no obligation to revise or update such statements in the future. In addition, management may also discuss non-GAAP operating performance results during today's call, including earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA. A reconciliation of these non-GAAP results is provided in the company's press release dated July 27th, which is available on the company's website at chemed.com. I would now like to introduce our speakers for today Kevin McNamara, President and Chief Executive Officer of Chemed Corporation; Dave Williams, Executive Vice President and Chief Financial Officer of Chemed; and Nick Westfall, President and Chief Executive Officer of Chemed's VITAS Healthcare Corporation subsidiary. I will now turn the call over to Kevin McNamara.
Kevin McNamara: Thank you Sherri. Good morning. Welcome to Chemed Corporation's second quarter 2021 conference call. I will begin with highlights for the quarter and Dave and Nick will follow up with additional operating detail. I will then open up the call to questions. Operating two distinct business units during our global pandemic has been exceptionally challenging. Fortunately we have begun to return to normalcy. The pandemic had created unique problems, logistical hurdles and forced our operations to make significant changes in field and home office procedures. Many of these changes have been institutionalized and will become part of our normal operating procedures post-pandemic. I could not be prouder of our management team. Both VITAS and Roto-Rooter met these pandemic challenges head-on, produced excellent operating results that are well-positioned for growth in the coming years. In April 2020, the first full month of the pandemic Roto-Rooter experienced an immediate and severe drop in demand for all plumbing and drain cleaning services. This drop was short-lived. Starting in May 2020 Roto-Rooter saw a spike in residential plumbing and drain cleaning demand. This increase in demand was sustained throughout 2020 and has continued unabated in the first six months of 2021. Commercial demand has also improved up pandemic lows and have now normalized close to pre-pandemic levels. For the remainder of 2021, I anticipate Roto-Rooter's residential demand to remain at the current run rate coupled with increased commercial demand as the country returns to normalized pre-pandemic consumer behavior. David will provide more detailed guidance metrics later in this call. Over the past 20 years the country has faced 9/11, The Great Recession and now a global pandemic. In each of these crises Roto-Rooter remained operating and materially increased market share revenue and operating margin. Just as important, Roto-Rooter has held on to the increases in revenue market share and margins in past crisis. Roto-Rooter is well positioned post-pandemic and we anticipate continued expansion of market share by pressing our core competitive advantages in terms of brand awareness, customer response time and 24/7 call centers and Internet presence. For VITAS, the most significant issue remaining from the pandemic is the disruption to senior housing occupancy and the related hospital referrals. Recent admission’s data suggest senior housing has entered into the early stages of recovery and our updated guidance anticipates steady improvement in the senior housing referred hospice admissions in the second half of 2021 with a further acceleration in senior housing admissions anticipated in the fourth quarter. With that I would like to turn this teleconference over to David. 
Dave Williams: Thanks, Kevin. Let's turn to VITAS. VITAS' net revenue was $312 million in the second quarter of 2021, which is a decline of 4.7% when compared to the prior year period. This revenue decline is comprised primarily of a 6.3% reduction in our days of care, offset by a geographically weighted Medicare reimbursement rate increase of approximately 1.8%. Acuity mix shift did have a net impact of reducing revenues approximately $3.8 million in the quarter or 1.2%. The combination of a lower Medicare Cap billing limitation and other contra-revenue charges offset a portion of the revenue decline by roughly 90 basis points. VITAS did accrue $2 million in Medicare Cap billing limitations in the second quarter of 2021 and this compares to a $5.7 million Medicare Cap billing limitation in the second quarter of 2020. Of our 30 Medicare provider numbers, right now 27 of these provider numbers have a Medicare Cap cushion of 10% or greater. One of our provider numbers has a cap cushion between 0% and 5% and two of our provider numbers currently have a fiscal 2021 Medicare Cap billing limitation liability. Let's take a look at Roto-Rooter. Roto-Rooter generated revenue of $220 million in the second quarter of 2021, which is an increase of $45.6 million or 26.1% over the prior year quarter. Total Roto-Rooter branch commercial revenue, totaled $50.3 million in the quarter, an increase of 31.8% over the prior year. The aggregate commercial revenue growth consisted of our drain cleaning revenue increasing 39.8%, plumbing increased 32.4% and excavation expanding 25.8%. Water restoration also increased 8.3% on the commercial side. On the residential side total residential revenue in the quarter totaled $149 million, an increase of 23.7% over the prior year period. The aggregate residential growth consisted of drain cleaning increasing 20.6%, plumbing expanding 30.7% and excavation increasing 22.4%. Water restoration also increased 23.1%. Basically increases across the board, all segments both commercially and residential. Now let's look at Chemed on a consolidated basis. During the quarter Chemed repurchased 250000 shares of stock for roughly $122 million, which equates to a cost per share of $487.53. As of June 30, 2021 there was approximately $312 million of remaining share repurchase authorization under this plan. We've also updated our 2021 earnings guidance as follows: VITAS' full year 2021 revenue prior to Medicare Cap is estimated to decline approximately 4.5% when compared to 2020. Our average daily census in 2021 is estimated to decline approximately 5%. This guidance anticipates senior housing occupancy will begin to normalize to pre-pandemic occupancy starting in the second half of calendar year 2021. VITAS' full year adjusted EBITDA margin prior to Medicare Cap is forecasted to be 18.3% and we are currently estimating $7.5 million for Medicare Cap billing limitations in calendar year 2021. That's an improvement from the initial $10 million of Medicare Cap we estimated at the start of this year. Roto-Rooter is forecast to achieve full year 2021 revenue growth of 15% to 15.5%. Roto-Rooter's adjusted EBITDA margin for 2021 is estimated to be between 28% and 29%. So based upon this discussion our full year 2021 adjusted earnings per diluted share, excluding noncash expense or stock options, any tax benefits we receive from stock option exercises as well as costs related to litigation and other discrete items, is estimated to be in the range of $18.20 to $18.50. The revised guidance compares to our initial 2021 guidance of adjusted earnings per diluted share of $17 to $17.50. I'll now turn this call over to Nick Westfall, President and Chief Executive Officer of our VITAS subsidiary.
Nick Westfall: Thanks Dave. In the second quarter, our average daily census was 17,995 patients, a decline of 6.3% over the prior year. This decline in average daily census is a direct result of pandemic-related disruptions across the entire health care system. This negatively impacted traditional hospice admission patterns starting in March of 2020. Our hospital generated admissions have largely normalized to pre-pandemic levels. Referrals from senior housing specifically nursing home and assisted living facilities continue to be disrupted. During the second quarter, we have seen admission stabilization and pockets of improvements in senior housing admissions. However, it remains too early to accurately project the pace and timeline for senior housing admissions to fully return to pre-pandemic levels. In the second quarter of 2021, total VITAS admissions were 16,840. This is a slight improvement when compared to the second quarter of 2020 admissions. More importantly, admissions in the second quarter of 2021 exceeded discharges by 315 patients. This is the first quarter since the pandemic began that our patient admissions have exceeded patient discharges. This is the strongest indication to-date that we are now beginning the process of rebuilding census to pre-pandemic levels. In the second quarter, our hospital directed admissions expanded 7.8% and emergency room admits decreased 9%. Total home-based pre-admit admissions decreased 9.3%, nursing home admits declined 9.9%, assisted living facility admissions declined 17.5% when compared to the prior year quarter. Our average length of stay in the quarter was 94.5 days. This compares to 90.9 days in the second quarter of 2020 and 94.4 days in the first quarter on 2021. Our median length of stay was 14 days in the quarter, which is equal to the second quarter of 2020 and is a two-day improvement when compared sequentially to the first quarter of 2021. I want to reiterate Kevin's comments and thank our VITAS team for their unwavering dedication over the last 17 months to deliver these results in the quarter as well as continue to provide high-quality care in every community we serve throughout the country. With that I'll turn the call back over to Kevin.
Kevin McNamara: Thank you Nick. It's now time for us to consider any questions that come before the teleconference. 
Operator: Yes, sir. [Operator Instructions] Our first question comes from the line of Mr. Frank Morgan from RBC Capital Markets. Your line is now open.
Frank Morgan: Good morning. I was hoping maybe you could give us a little color. You talked about the recovery in the -- where admissions are exceeding discharges. But how would you characterize that momentum across the months of the quarter? Would you generally say it got better as you went through the quarter? Any general color there. And I think you also commented about some pockets of improvement in referral patterns. Could you give us any additional color on where you're seeing most of that and I guess, I'm especially interested in the Florida market?
Nick Westfall: Yes. So Frank to address your first question on pace inside of the quarter, we did see strengthening of the admit versus discharge differential inside of the quarter. And granted we're inside of summer months and going into the fall that has some monthly seasonality to it. But all-in-all, we felt good and comfortable with the momentum that appears to be building inside of the quarter and is included in our projections for the remainder of the year.
Kevin McNamara: And just with regard to Florida, Nick would agree that admissions in Florida are stronger and have been stronger through the entire year as compared to the rest of the country. So our very important Florida market has remained rock solid.
Nick Westfall: That's right. And so Frank that was the second point I wanted to reiterate Kevin's comment on we're seeing strength throughout the entire State of Florida, but also regionally we're starting to see some momentum actually in the Midwest, Southwest, Northeast. And California continues to ebb and flow in certain pockets of California because of some of the differences in local municipality actions and enactment throughout the community.
Kevin McNamara: And Frank for -- just for an abundance of clarity, so if you look at the quarter April, May and June, April we saw a slight negative where discharges slightly exceeded admissions in April. May was actually positive where admissions exceeded discharges. And so May improved over April. June improved over May, where we had a significant gap between admissions and discharges. So the momentum and the trajectory is going in the right direction. I don't expect it to be linear. But without a doubt, I'd say I'm exceptionally confident in saying this "Hey we've met bottom and we're off of bottom and we're seeing recovery." 
Nick Westfall: The last comment Frank to correlate it back to the senior housing and you'll see it, I'm sure with the publicly available national data. When you look at just even small 1% and 2% incremental occupancy moves across the board throughout the country that helps to sort of correlate some of that ongoing momentum specifically in the senior housing sector.
Frank Morgan: Got you. And as I look at -- we get asked a lot about the labor markets and availability of labor. So I'm just curious, what is your strategy through this period? I mean, clearly, census is -- has been pressured through the pandemic. But what is your philosophy relative to labor? Are you willing to sacrifice margin in the near term to keep the labor? Or how much of an issue is getting labor for you in your key markets?
Nick Westfall: So that's sort of two questions built inside of there, right? Our approach throughout the pandemic and we continue to execute upon it in the second quarter was, we recognized in certain select markets. Yeah, we had certain skill disciplines where maybe we were slightly overstaffed than we would have been with an expectation of that return towards normalcy. And a real focus on retention of high-quality employees throughout the pandemic, but with extreme focus here in 2021. And I'm happy to say in the quarter, we've continued to see success with that on a very intentional effort and we think it positions us well going forward. With that being said, there are specific markets and specific disciplines that we're very aggressively continuing to recruit for, not only for our existing care needs, but for our anticipated future care needs. And I hate to make blatant statements, but we've had noticeable success with some of the internal metrics in a way in which we garner that, but recognize the same commentary that's coming from the entire market. It is a very competitive -- it's a very competitive market and we have tried to take some unique approaches for really articulating what the value proposition to the candidate base is to join VITAS as opposed to some of the other providers in the space.
Kevin McNamara: I mean, Frank just you know these competitors Nick is talking about are paying substantial cash bonus -- signing bonuses to -- in order to uproot, say certain disciplines not all. But it's been a struggle, but it's not getting worse. I mean it's been consistently tough.
Nick Westfall: But the other component baked inside there, Frank. As we sit today across the board and there may be some market nuances to this. But across the board, we don't see staffing as an impediment today that's impeding our ability to grow on a go-forward basis.
Frank Morgan: Got you. Maybe one -- just last one on VITAS. Obviously with the recent surge we're seeing from this variant. I'm just curious, how would it be different this time versus the past with the past surges? I mean, obviously the most of the nursing home population now is vaccinated. But how do you think your business would react if this variant hangs around for a while?
Nick Westfall: So, I think there's a host of differences as we sit here today as compared to when we entered the pandemic. The first one is our internal knowledge and comfort, not only knowing the vaccination rates and the ability for us to continue to educate our team members right to be fully vaccinated, which I think you understand the nuances with the second wave being highly concentrated on the unvaccinated population as well. So it helps to provide a degree of comfort to the staff to be able to be out in the community to provide that degree and level of care. Also for unvaccinated or testing requirements, we also have the testing capacity to be able to execute and conform to those rules. And so between the combination of those two things along with sufficient PPE, we should be able to successfully navigate any access restrictions or potential existing or new patient and family and health care partner concerns to be present out in the marketplace in a safe way to respond to the ongoing needs. So, said differently, we're better equipped with information to be able to react nimbly as well as the materials and protective supplies to do so without any pause.
Kevin McNamara: Frank, I personally think the most disruptive potential element of the Delta variant is to the extent that a state were to require all service providers like us to -- that have only vaccinated employees, that would be a disruptive factor, because VITAS like a lot of -- like every company has employees that don't want to be vaccinated. And to the extent that we were dealing with that, that would be a disruptive factor. We're not likely to do it. And I think that if you look at the various states, Florida is probably the last state that would do that just because it's one of the highest percentage of unvaccinated healthcare worker, groups in the entire country. So, I don't anticipate that happening. And to the extent that it did happen, it's less likely to happen in Florida, which is -- which would be our biggest circle. So, we're watching it very carefully. I think the real answer to it is as the Delta variant, which is significant, maybe a little less deadly as that is persisting. The real issue is we've been -- as a country we've been through it once. And we know that there were certain overreactions and maybe some under-reactions and they have a better chance of getting it right. So, from a commercial standpoint, we're less concerned now than we were previously.
Frank Morgan: Got you. One maybe a Roto-Rooter question, I'll hop back in the queue. But, just -- I was interested in your comments you made about the commercial side of the business having resumed back close to baseline. I'm just curious have there been any changes in the mix of business on the commercial side? And then, I guess on the residential side, the sustainability of this really incredible performance, it sounds like you're pretty confident that that continue. Any data points there would be appreciated. And I'll hop in the queue. Thanks.
Dave Williams: Yes. So yes, without a doubt commercial is coming back close to pre-pandemic level, not there and certainly not there in all markets. And so, we're -- we now have three weeks reported in the month of July and I think one of those three, Kevin was another record week. So, yes, we have a high degree of confidence that the momentum is going to continue. And as long as that momentum continues, that's where Kevin and I are getting our confidence we will hang on to this year. And that's why he pointed out the last two times we had disruption 9/11, The Great Recession, we did keep all of the share growth we obtained during the crisis. And the fact that this continues now, the momentum has continued on Roto-Rooter is where we're getting our confidence we'll maintain this share post-pandemic. But we're watching it very, very carefully. The great story frankly is the margin, to have a 29% EBITDA margin for Roto-Rooter in Q2 unheard of. We're trying to be somewhat conservative, but recognize we're dealing with significant demand momentum, but we're watching Roto-Rooter very, very, very carefully, but we think we're in great shape in terms of demand cost structure in our positioning.
Kevin McNamara: Yes. And basically what we look at is obviously the story the last couple of years for Roto-Rooter is strong growth in, what we call the ancillary services, call it, excavation number one and water restoration number two. Those feed off strong growth in the core businesses and that's what we're getting. So, that gives us a lot of confidence. Starts with the core business growth, and then, it's just getting the throughput for the other services.
Frank Morgan: Thank you.
Operator: Our next question comes from the line of Joanna Gajuk from Bank of America.
Joanna Gajuk: Good morning. Thanks for taking questions here. So, I guess first if we can come back to VITAS. And I guess a question about margins for the segment. So for the year, you reduced the guidance versus your initial expectation for the margins for VITAS, despite the fact that now I guess, the sequestration left that was extended it wasn't initially anticipated. So, what is driving this dynamic? I guess, that's the first question. 
Nick Westfall: Yes. So there's a couple of levers inside of it from when we provided initial guidance and what we've now been able to observe from a trend perspective that's reflected as you alluded to. I think two of the primary pieces, which have always been the largest cost drivers get towards not only salary wage and fringe spread across days of care but also ongoing ancillary costs particularly in the medical supplies as well specifically. And so we're able to take targeted actions to continue to maintain and improve those things in the second half. But really we're -- we have much more experience now obviously five six months into the year. And so what we did was update our cost drivers with it and make sure that we're prudently managing that on a go-forward basis. Those are the two primary drivers there along with high acuity really looking at overall high acuity mix and what realistic expectations look like for the remainder of the year. 
Kevin McNamara: Joanna, I'd say that from a management standpoint as we've looked at ourselves we said we had the administrative support in place for very expected -- very reasonably expected to be 20,000-plus patients. And just with a flip like a light switch that fell to the number the 17,000 number. And we're in the middle of pandemic not a real good time to be ripping employees and making changes in let's say, our overall capacity to deal with that call it that 20,000 number for the patients. But that's something that we're -- we've now had a little more time to begin to chip away at and I think and to right-size on the administrative side. So it's -- from a management standpoint to say something -- to say margin has fallen, yes, that's never a good thing to the extent that we say that now we have some tools and some levers to pull to put it back into perspective. I think Nick, is doing a great job doing that. 
Nick Westfall: And as we alluded to throughout the pandemic and prior quarters there were some components of margin that were onetime and not sustainable. I think we did a pretty good job of highlighting that when it came up. And obviously, we feel like we have a pretty good handle on a go-forward basis at this point. 
Joanna Gajuk : Okay. Because I thought last time we were talking about you getting some efficiencies in the business in terms of how you operate. And I guess, you previously alluded to like 18% margin I guess in -- after things normalize. So is it still kind of how we should think about it? So -- despite the fact that sequestration, cuts will come back at some point the 18% margin is still kind of the target for that business? 
Nick Westfall: Yes. I mean, I think in the prior commentary and it was one I think Dave and I commented on, it was that piece really talking about it in a 2022 timeframe. And obviously, we'll come out and provide that updated guidance when we get to 2022. So I think it's consistent, but the number I seem to recall is about that 17.5% component with it. And obviously, there are other efficiencies that get to be garnered when as median length of stay and other components would begin to build back towards pre-pandemic levels and a normalized distribution that then play into that but that's really a 2022, second half of 2022 time period at this point. 
Joanna Gajuk : Right. Because also you made some comment about acuity trends. So kind of I guess, you still assume like this year acuities remain lower is that correct? 
Kevin McNamara: It is. 
Nick Westfall: Yes. That is correct. And when you look at it total acuity in the quarter as Dave, alluded to in his comments was 3.2% total days of care compared to 3.5% in the first quarter of 2021. And when you break that down further, there's stability inside of the general inpatient component but continuous care still continuing to be impacted. And keep in mind some of the continuous care impact, setting wise is inside of senior housing. And there's no -- until occupancy admissions the ability to provide care returns to normalized levels in senior housing it'd be full hearty to believe that when a physician determines it's appropriate period of crisis that continuous care would be appropriate in that setting. 
Joanna Gajuk: Right. And just, I guess, we spent some time talking about the senior housing dynamics and you expect some improvement in second half and more so in the fourth quarter specifically. But can you talk about, I guess, your business outside of that referral setting for you? Are you growing referrals from other settings? Are you doing something differently? Are you getting traction to get new referrals physician offices or some other referral sources? So can you kind of talk about that dynamic?
Nick Westfall: Yes. The short answer is yes. And the other two segments, we primarily report on hospital business we mentioned is return to pre-pandemic levels. And frankly, it's above pre-pandemic levels. It's that symptomatic of patient flow in the health care system traversing the hospital system more than other settings potentially. But we feel good about our approach there. Our dedicated focus over the last few quarters has really been in some of the what we'll call the home base, which is primarily a lot of the physician office settings, because as we watch the pandemic evolve and people reaccess the health care system, we found they did so through those markets. And so while that -- while it takes more of a distributed education approach to tone -- hone in and really prioritize our time that's what we've been focused on, because we have more accounts than we could service in any given market and we're really making sure we're focusing our time on those that understand the hospice benefit and want to really help work towards providing appropriate access to patients and the communities when that need is presented.
Joanna Gajuk: Right. And I guess shortly just last question on VITAS. The hospice carve-in demonstration with MA. Any kind of update there? What you're seeing? Are you participating? I guess, last time we spoke about this sounded like no. So kind of any color you might have of what you hear in the market how is that going?
Nick Westfall: Yes. No we're not participating today for any of the year one components. I think you're aware of this, but the participants that chose to join year one seven of the nine are -- of the nine insurance companies own their own hospice company in the year one demonstration. And as year two begins to unfold and full participation in what markets and stuff becomes publicly available here in a few months, time will tell. But we've been public I've spoken about it at a few conferences here recently. We continue to have concerns related to the design of the demonstration and would recommend CMMI considered delaying it and working with some of the provider community to help work through some of those design concerns and I know others feel the same way. But time will tell and we'll continue to navigate it. But the appetite for participation from the insurance plans for -- in year two will help to determine the right market reaction to it.
Joanna Gajuk: Okay. I see. So what you're saying, we might hear more in the future from the participants, but is there some sort of cycle where you might hear back from CMMI on, I guess, the commentary from the industry?
Nick Westfall: Yes. We've -- per their request, we continue to be active participants in providing dialogue with them towards the intent of really what the purpose and what they're trying to achieve for the country. And time will tell and we'll be -- we'll continue to make sure we're available to provide any information we have as well as others whether it's trade associations and other providers as well. So I think it's something to keep an eye on. But as we sit right now really as it broadens to every geographic territory and more plans would consider participating in the demonstration. Time will tell how that gets implemented on a market-by-market basis. But there's like I mentioned some design concerns with how the hospice benefit would be delivered on a localized basis when it can effectively be potentially redesigned by each insurance plan.
Joanna Gajuk: Okay. So your request for CMMI is to kind of change this ability for plans to create their own benefit design for hospice that's the main pushback you have? 
Nick Westfall: That's one of a few and they're aware of those ongoing recommendations as well as concerns that we have as well as other providers in the community.
Joanna Gajuk: All right. Okay. So I'll stop here with this. But one question on the Roto-Rooter, right? Obviously, exceptionally strong results, and then you've raised your margin guidance for the year. To your point, Q2 was very strong margin. So essentially we're kind of saying hey we see already July being so strong so we kind of assume that this residential kind of outperformance or strong performance is going to continue in second half is that's what's going on? Because I guess multiple times you kind of said you're confident in your market share gains being sustainable, right? So you're kind of saying hey these margins could actually sustain at least for the next quarter or so. Is that how you think about it?
Dave Williams: I'd say certainly for the second half of the year and on a go-forward basis. Obviously, we're watching to see if there's any softening sequentially. We would have thought -- if there was, we would have thought several months ago and it has not. If anything it's slightly increased in terms of the momentum. So really Joanna, that's where we're getting our confidence that like the other two crises Kevin mentioned, we're going to hang on to this uptick in share revenue and margin, but we're watching it.
Kevin McNamara: Yes. We would say that, we certainly expect the margins to be in the same range, but we were a little surprised that it ticked up quite as high as it did.
Dave Williams: To the 29% in Q2, yes. Yes. And typically the fourth quarter is our highest margin. And I think we're appropriate on our guidance if not a tad conservative.
Joanna Gajuk: I see. Because I guess, if you would say hey at some point this residential like you're saying you had been expecting like at some point it's going to soften. Because if it would then I guess the margins would be lower, but the fact it's so strong suggest that there is -- that business is remaining stronger. So, even if you have assumed that, at some point the residential normalizes, some commission coming back, like what kind of target margins for the segment would you expect now?
Kevin McNamara: Basically hanging around that 29%.
Dave Williams: 28.5% to 29.5% to kind of give you that range.
Joanna Gajuk: Okay. Yes, it's a pretty good margin. And the last question sorry about that -- the very last question. For free cash flow priorities I guess, any change in views around acquisitions or anything else you might be prioritizing the free cash flow use?
Dave Williams: Yes. It's really going to maintain the same that we anticipate. Acquisitions still remain exceptionally pricey. You're hard-pressed to see a true economic return, given those valuations. So, really it's going to be share repurchasing and our dividend. As you saw, we purchased 250,000 shares in Q2. We purchased 100,000 in Q1. So the first half of the year, 350,000 shares. We've actually on a primary basis have finally dropped below the 16 million. Mike put it we have 15.8 million -- 15.9 million shares outstanding on a primary basis. And the second half of the year, again, nothing is guaranteed. We'll watch everything, including issues outside of Chemed. But we would not be surprised to deploy somewhere between, another $200 million to $400 million in the second half of the year. But again we watch things very carefully. But we feel very good about the sustainability of Chemed producing cash flow, which basically is one of the things we look at in terms of continuing our share repurchase program. So, we definitely are going to put to work nine figures in the second half of 2021 in share repurchasing.
Joanna Gajuk: Great. I appreciate the comment. I’ll hop back in the queue. Thanks.
Operator: There are no questions at this time. I will now hand the conference over to Mr. Kevin McNamara.
Kevin McNamara: Well, I just want to say thanks -- thank everybody for their kind attention. We were -- we thought we had a good quarter. Very happy with the results. And we'll be back approximately three months from today. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.